Operator: Welcome to IDACORP's First Quarter 2016 Conference Call. Today's call is being recorded and webcast live. A complete replay will be available from the end of the day for a period of 12 months on the company's website at www.idacorpinc.com. [Operator Instructions] At this time, I would like to turn the call over to Mr. Lawrence Spencer, Director of Investor Relations. Please go ahead, sir.
Lawrence Spencer: Thanks, Josie. We issued earnings release and Form 10-Q before the markets opened today and they're both posted to the IDACORP website. The slides we’ll be using to supplement today's call can be found on our website as well. We'll refer to these slides as we work our way through today's presentation. On today's call we have Darrel Anderson, IDACORP's President and Chief Executive Officer; and Steve Keen, Senior Vice President, Chief Financial Officer and Treasurer along with other individuals available to help answer your questions during the Q&A period. As noted on Slide 3, our presentation today will include forward-looking statements. While these forward-looking statements represent our current judgment or opinion of what the future holds, these statements are subject to risks and uncertainties that may cause actual results to differ materially from forward-looking statements made today. So, we caution you against placing undue reliance on forward-looking statements. Some of the factors and events that could cause future results to differ materially from those included in forward-looking statements are listed on Slide 3 and are included in our filings with the Securities and Exchange Commission, which we encourage you to review. On Slide 4 our quarterly financial results are presented. IDACORP's first quarter 2016 earnings per diluted share were $0.51, an increase of $0.04 per share from last year’s first quarter. I will turn the presentation over to Steve to discuss the results in greater detail and to review our 2016 key operating metrics.
Steve Keen: Thanks, Larry. We had a successful first quarter executing on key milestones and delivering earnings slightly ahead of the prior year. Similar to 2015, our first quarter results were again impacted by mild temperatures. Looking ahead, temperatures are projected to be above normal for spring and summer in our service area and have the potential to reverse these impacts, although our forward estimates only include normal weather expectations. On Slide 5, we present a reconciliation of net income from first quarter 2015 to first quarter 2016. Overall, net income increased by $2.3 million over the period. The combined positive effect of customer growth and increased usage per customer improve the operating income by $2.7 million compared with the first quarter of last year. In May 2015, the Idaho Public Utilities Commission modified the Idaho fixed cost adjustment mechanism, or FCA, to use actual sales rather than weather normalized sales in the calculation and made that change effective January 1, 2015 and the $7.4 million impact was recorded during the second quarter last year. The effect of this modification on the first quarter of 2016 is an increase in FCA revenues of $4.9 million over the prior year. Recall that the FCA mechanism only applies to the residential and small commercial customer classes. Our operating and maintenance expenses were up roughly 2.5% over last year’s first quarter, which decreased operating income by $2.1 million. After evaluating the impacts of the mild weather, we have sharpened our focus on optimization of our spending as we continue to seek sustainable reductions to planned O&M expense. We reaffirmed our guidance for full year 2016 O&M expenses to be within the range of $350 million to $360 million, but our goal is to carefully assess all spending. Depreciation expense also accounted for $1.6 million reduction in operating income as our planned investment has grown quarter-over-quarter. Overall, Idaho Power's operating income increased by $1 million for the first quarter of 2015 to 2016. Moving further down the table, lower income tax expense modestly benefited this year’s first quarter net income compared to 2015. The decrease in income tax expense was a result of recording additional amortization of accumulated deferred investment tax credits, or ADITC, under the Idaho regulatory stipulation and the adoption of a new accounting standard related to share based compensation, which resulted in changes the accounting treatment of income tax deductions for our stock based compensation plans. I will further address the booking of additional ADITC in a moment. As for the accounting standard change implementation is required in 2017 but we chose to adopt the standard early. We outline the impacts of this new standard on page 18 of our form 10-Q issued today. Moving now to Slide 6, we show IDACORP's operating cash flows for first quarter 2016 and 2015 along with the liquidity positions at March, 31. Cash flow from operations for the first quarter of 2016 was approximately $66.2 million, a decrease of $39.2 million for the first quarter of 2015. The decrease was primarily due to changes in regulatory assets and liabilities as well as timing and decreases in working capital. IDACORP and Idaho Power currently have in place credit facilities of $100 million and $300 million respectively, to meet short-term liquidity and operating requirements. The liquidity available under the credit facilities is shown on the bottom of Slide 6. Also there are $3 million IDACORP common shares available for issuance under IDACORP's continuous equity program. Under this program no shares were issued, during this years first quarters and no new share issuance are expected during the remainder of 2016. Turning to Slide 7, each of the financial operating metrics listed on this slides remain the same as presented on February 18, the date we reported fourth quarter 2015 results. I will add some color on two of these metrics. In regard to hydroelectric generation 2016 is shaping up to be a better water year than 2015 though still below normal. On April 28, there is no water equivalent above Brownlee Reservoir in Hells Canyon was 77% of normal compared to 47% of normal on the same date in 2015. The accruement over prior year is reflected in our guidance range in our balanced resource portfolio and risk management programs will help us manage system needs despite below normal hydro conditions. I would also like to point our that we ratably recorded $500,000 of additional ADITC amortizations in the first quarter based on our estimate of return on year end equity in the Idaho jurisdiction for 2016. This figure corresponds to a full year estimate of $2 million. The amount for the quarter it included in the income tax reconciliation table in note 2 of the financial statements in the form 10-Q filed earlier today. Despite the challenges we face in the first quarter from weather impacts we remain focused on minimizing the need for this additional ADTIC amortization as we execute our plans for the reminder of the year. Also as discussed in liquidity and capital resources section of the from 10-Q the early redemption of the 6.15% first mortgage bonds due April of 2019 resulted in Idaho Power in making a make-whole premium – paying a make-whole premium of $14 million to the holders of the bond. We estimate that the net tax benefit of this premium to be around $5.5 million and it will be recorded in the second quarter. This benefit has been taken into consideration in reaffirming the earnings per share guidance range for 2016. Both the issuance of the new thirty year bonds at a coupon of 4.05% and the redemption of outstanding higher coupons ten year bonds were positive accomplishments for this year. I will now turn the presentation over to Darrel.
Darrel Anderson: Thanks to Steve and good afternoon to all of you. As we discussed in our earnings release as well as our first quarter 10-Q we saw growth in the first quarter and continue to be optimistic about growth. For the 12 month ended March 31, 2016 our customer growth rate was 1.8%, preliminary data as of March 2016 shows unemployment in the service area was 3.8% compared to 5% at the national level. Compared with last years first quarter our service area employment increased approximately 1.5%. As of March 2016 Moody’s analytics forecasted that growth in gross area product in our service area would be 6% and 5% for 2016 and 2017 respectively. Evidence for some of this growth is shown on slide 8. Where a major food manufacture in our South-Central Idaho service area Chobani announced March 10, it is investing nearly $100 million to expand its existing Greek yogurt plant in Twin Falls. New equipment for new products is a major part of a major expansion initiative. The yogurt plan in Twin Falls is the world’s largest. Another sign of positive economic activity became public this week on a California based company, American Food Equipment Company, broke ground on a new 61,000 square foot equipment manufacturing facility. It is expected to bring close to 90 new manufacturing jobs as part of a national expansion plan according to Boise Valley Economic Partnership news release. The company has outgrown it’s existing facilities in California and Idaho rose to the top of the list according to the release. Areas that stood out as part of the selection criteria were at the work effect and availability of labor in our service area. The facility is expected to be on line by late fall of this year. Also on Slide 8, we show that Boise and the State of Idaho continue to receive national recognition of a low cost, desirable place to live with employment potentials. Just earlier this week the Bureau of Labor Statistics noted that Idaho is number one in U.S. job growth since March 2015. We like many other companies are seeing the impact of a baby boomer generation retiring in our leadership ranks. We have seen this in recent officer retirees including Greg Said and Lori Smith earlier this year. Most recently, Senior Vice President and General Counsel, Rex Blackburn, has announced that he will retire December 31 of this year. As we have mentioned before, developing and promoting an experience leadership team is part of out long-term strategy to ensure our company is well-positioned for a strong future. To that end our late Counsel, Brian Buckham, assumed the role of Vice President and General Counsel of IDACORP and Idaho Power on April 1. To ensure an effective transition Rex will remain in office throughout the company through the end of the year. Brain has been with the company since 2010 with areas of practice and securities, finance, corporate governance, commercial transactions and physical and cyber security to name a few. On Slide 9 we discuss our recent announcement related to Idaho Power’s intention to join the western Energy Imbalance Market or EIM. On March 31, Idaho Power signed an agreement to participate in the western EIM beginning in 2018, contingent on necessary regulatory approvals and other conditions. The western EIM is intended to reduce the power supply cost to serve customers through more efficient dispatch of a larger and more diverse approval of resources to integrate intermittent power from renewable generation resources more effectively, and human hands for liability. Slide 9 shows the active and planned EIM participants in the Western United States. I’d now like to provide an update on our transmission projects. Boardman-to-Hemingway continues to move along the permitting and sighting process. Upcoming Bureau of Land Management milestones on the project, include a final environmental impact statement to be issued in the third quarter with a record decision this year. This line was a preferred resource identified in our 2015 integrated resource plan. On the Gateway West project, a draft environmental impact statement for the two differed segments was released in March of this year. As of now BLM schedule provides for the issuance of a record decision on these two segments late this year. Slide 10 as I look at the projected May to July weather outlook. Current projections suggest that there’s an equal chance for above or below non-precipitation in Idaho Power service area and a greater than 50% chance of above normal temperatures. Before opening for questions, I want to remind everyone that our annual meeting of shareholders will be held at 10:00 AM Mountain Time on Thursday May 19 at our corporate headquarters in Boise, Idaho. We will also be webcasting the event live on IDACORP website. And now Steve and I and other on the call today look forward to answering any questions you may have.
Operator: Ladies and gentlemen we will being the question-and-answer session. [Operator Instructions] And our first question comes from the line of Paul Ridzon with Keybanc. Your line is now open.
Paul Ridzon: Good afternoon.
Darrel Anderson: Hi Paul.
Steve Keen: Hi Paul.
Paul Ridzon: With this changing tax methodologies flow throughout the year and was this contemplated when you first issued 2016 guidance?
Steve Keen: Paul, I would say no that this wasn’t contemplated. This is one of those items that has been looked at for a number of years but until we saw the final decisions and how it was going to be implemented we didn’t know what the impact would be. There really is not an ongoing impact this year it will have an ongoing impact year-over-year but we will also be difficult to project what that impact will be because it is based on variations in share price and whether or not targets are met or exceeded or missed. And although variables will factor into what the ultimate impact will be but this was we could calculate this year’s number and so we adopted early.
Paul Ridzon: Is this something you calculate once a year?
Steve Keen: You really don’t know until you get to the point that you would have the payout because it is impacted by the price of your stock. And how will you performed against the prior year metrics so companies will know probably post year-end a better idea but and you may have a – you could estimate what its going to be but it would be subject to markets and those kind of things are pretty difficult to tell what could happen.
Paul Ridzon: I know that the weather was fairly mild how much of the mild weather do you think that new PCA mechanism do not offset?
Steve Keen: Probably I know have a good, I don’t have a percentage that way I would say that first quarter being one of our smaller quarters it tends to be impacted a little bit more than the rest of the year over time, we ran correlations against how weather had been and our good first quarters almost always had strong weather in our weaker first quarters. Not so much but and just look at back at the last five years, first quarter has been anywhere from 10% of our year-end earnings are about 11% of our year-end earnings so I think 19%. So it’s a pretty small part of overall earnings anyway and I think its one of those because of the size it gets wagged a little more by what weather does. And the year that was 19% was year 2013 which is a really big winter year for us had a strong weather impact.
Paul Ridzon: From kind of a shareholder earnings standpoint, what were kind of impacts do you think joining the EIM is going to have, if any?
Darrel Anderson: Paul, this is Darrel, we are obviously still in the process of finalizing those numbers and we think that it could be, there is a range in numbers because there is a range of assumptions depending what happens in the marketplace. But and so it – and I don’t really want to – can’t throw out a bunch of numbers today because we are still kind of in the process of assessing that, but needless to say we think that value there that’s why we are pursuing it we think its for the most part though it is a reduction in power supply cost benefit is really what it ends up being. There is an investment we will have to make in systems associated with that but we think we will have to make some of those investments anyway as the market continues to change. So the capital investments that we might otherwise have to make we felt like we should lease consider joining the EIM because of what we project today has the potential reduction in power supply cost longer term.
Paul Ridzon: And not all this cost will flow through to customers, shareholders will see some of that?
Steve Keen: We anticipate that it would run through the PCA in the normal 95 sharing is where we, as we would project that to be.
Darrel Anderson: Paul, we also intend to as we present this to the PUC its likely that we will show all of those costs and benefits together and try to reach an agreement such that we align recovery of the cost with whatever comes out of the EIM. That will be a primary goal.
Paul Ridzon: Would the cost be capital or expense?
Steve Keen: It would be more of – you could defer some of those upfront cost and align them with the benefits that are being received I think that would be the way that would make the most sense and be fair to all parties.
Paul Ridzon: Okay. Thank you very much for your time.
Steve Keen: Thanks Paul.
Darrel Anderson: Thanks Paul.
Operator: Thank you. And our next question comes from the line of Brian Russo with Ladenburg Thalmann. Your line is now open.
Brian Russo: Hi, good afternoon.
Steve Keen: Hi, Brian.
Darrel Anderson: Hi, Brian.
Brian Russo: Just the $0.5 million of ADITC usage in the first quarter and then your assumption of $2 million for the year, what was driving that I mean was it the first quarter weather or was it cost pressures just wanted to get a more insight on that.
Steve Keen: Brian, it is both really. We do have cost pressures because as you saw in our reconciliation, some items are going up as we add new plant to right to our closer to 101. It’s driving higher depreciation even though we haven’t filed a case. So we don’t necessarily get corrections for that. Within our plant we felt like from the very start even in normal weather, we would be looking at somewhere between zero and five. As it turns out, we’ve had good success in executing on some of our goals, we got bond the steam, and we’ve accomplished the redemption. What didn’t happen was, weather didn’t stay normal and it got a little bit worse. So we didn’t – several positive things that we’ve felt like happened and could have maybe put us in a better place, ended up not fully materializing its improvements. I think we got a little bit and as you saw we’re looking towards $2 million for the year, we have three more quarters. So hopefully find things that we can make that improve as well, that’s our goal. We believe that preservation of credits is important to customers and to our owner. So that’s really where we are focused. It just turned out that the combination of everything we couldn’t get in quarter one. And we’ve been here before. We’ve booked credits Q1 and then had them reserve. But that is the challenge we have as our company grows and we don’t file a case. Can we sustain this growth? But they all mentioned and talked about is the biggest answer to that in the near term. And we’re seeing, it added up, didn’t quite get us to zero.
Darrel Anderson: Brian, this is Darrel, just to add to that. The thing that Steve said is as we look forward, we forecast normal weather. And as that we also mentioned, as we’re looking to the summer which I think as you know second and third quarters are generally are biggest quarters because of our cooling load and irrigation load, all coming together. But as we see some of these temperature forecast that have a greater than 50% chance of being of hotter or warmer than normal that – some of those things for instance can’t – could play into Steve’s estimate of the annual utilization ADITC. So I think the thing that we’re looking for is what will be the mix of those sales as we go into second and third quarter, which will then determine to the extent are we – if we go above normal then that would allow us potentially to reduce the utilization of ADITC.
Brian Russo: Okay, understood. And then the updated FCA, that can have an impact in the second quarter?
Steve Keen: Brian, it really depends on what happens with weather if – so the reason is showing a benefit this quarter because weather was below normal. Whichever way the weather goes, it’s likely to moderate what otherwise would have been an impact on us. They won’t completely remove the impact, but it will have a moderating effect. And I would say as we get towards summer, the impact of the irrigation load probably rises up and has a little more impact on share owners, because that piece falls outside the FCA. If we have a lot more irrigation that would show up as a benefit, it’s a rainy cool spring. And if they turn off, we will see more impact negatively from that.
Brian Russo: Okay. Thank you.
Darrel Anderson: Thanks, Brian.
Operator: [Operator Instructions] That concludes the question-and-answer session for today. Mr. Anderson, I'll turn the conference back to you.
Darrel Anderson: Thanks, Chelsea, and thanks for all who are participating in our call this afternoon. One thing I do want to mention before I sign off here is, all of guys, probably they’re on the phone, knows that – know Larry Spencer very well. This will be his last raise relates to leading this call for us. He’s Head of our Inventor Relations group, and all the years he’s put in and done a fabulous with that. But he’s going to be one of those baby boomers that are also going to be sailing off into the sunset. So we just want to thank him for all of his hardware, and with all of you on the phone who he spent many, many hours with both on the phone and in person. So Larry we all thank you for that. And with we hope everybody has a great afternoon. Thank you.
Steve Keen: Thank you.
Operator: That concludes today's conference. Thank you for your participation.